Operator: Ladies and gentlemen, welcome to the Schindler Half Year Results 2025 Conference Call and Live Webcast. I am Valentina, the Chorus Call operator. [Operator Instructions] And the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Lars Brorson, Head of Investor Relations. Please go ahead.
Lars Wauvert Brorson: Thank you, Valentina. Good morning, ladies and gentlemen, and welcome to our first half 2025 results conference call. My name is Lars Brorson. I'm Head of Investor Relations at Schindler. I'm here together with Paolo Compagna, our CEO; and Carla De Geyseleer, our CFO. Paolo will discuss the highlights of our first half results and our 2025 market outlook, and Carla will then take us through the financials. After the presentation, we are happy to take your questions. We place -- we plan to close the call rather at 11:00. And with that, I hand over to Paolo. Paolo, please go ahead.
Paolo Compagna: Good morning, everyone. I'm pleased to be back to report on our performance in the first half of this year. And let me start by giving you some highlights on Slide #3. First, we have seen organic growth starting to return to the business, which is encouraging after a period of low growth in the prior years. We delivered over 5% order growth in local currencies, and we continue to see very good momentum in our Modernization business, which grew 22% in the first half of this year. Services grew mid-single digit, in line with historical trends and as a service company on a level we would expect to grow at. Second, revenue growth was more muted, but our backlog is growing at a healthy pace, up 4% in local currencies. And that bodes well for continued revenue growth in the second half of this year, setting us up to deliver on our full year 2025 revenue guidance of a low single-digit growth in local currencies. Third, we delivered a strong operating margin at 12.3% for the first half of this year. Carla will be happy providing you with more details on the drivers behind this, but I'm pleased to see that our SG&A efficiency initiatives from last year are delivering the expected savings in '25 and that our procurement and supply chain operations continue to support margins. Third, we delivered a good operating cash flow at CHF 703 million in the first half of this year. That is up from last year's strong levels, and we expect to deliver another solid operating cash flow in '25 even if we might not hit the exceptional levels of last year. Now beyond our financial performance in H1, let me touch on some of the opportunities and challenges we see in our operations and in our external environment. Firstly, let me highlight the progress we are making with our new U.S. mid-rise product. You heard us last year talk about the launch of this product, a key initiative in a strategically very important market for us. The customer response has been overwhelming positive, and the first installations have been successfully executed, setting us up to complete the rollout over the coming quarters. In terms of external headwinds, and Carla will walk you through the financial impact of these, let me say on tariffs that we are making good progress on mitigating the impact with pricing actions and supply chain measures. Obviously, this is a very dynamic situation, but I'm confident that we can mitigate the majority of the known tariff impacts in '25. And it is also clear that currency headwinds are now back for Schindler as the Swiss franc keeps strengthening. This is why it is important that we remain absolutely focused on what we can control. Here, I'm very pleased with the progress we are making on our efficiency initiatives. The gains from these measures are increasingly visible in our operating performance, as you can see from the uptick in the operating margins. Finally, a word on China, and what we are doing to set up our organization for future success. When I took over the CEO role earlier this year, you heard me talking about repositioning our China business towards future growth opportunities, whilst we continue to streamline the organization for greater efficiency and speed of execution. These measures are now well underway, and I'll be happy to keep you updated as we make operational progress here over the coming quarters. Moving to our market outlook 2025, now on Slide 4. We continue to expect the Service markets globally to grow at a healthy pace. However, we can now clearly see the impact of the prolonged NI market contraction with noticeably fewer units getting converted to installed base. Hence, we have now reduced our China Service market growth outlook, which obviously has an impact on the global figure given the country's relative size in unit terms. However, the revision is modest, and we still see China Service market growing to mid-single digit. The modernization markets are projected to experience continued growth worldwide with mid- to high single-digit growth across the world and double-digit growth in China as the government's bond program continues to facilitate the upgrading of tens of thousands of aging elevators. In New Installations, we anticipate the global market to decline by high single-digit, mainly due to a low-teens contraction in China. The new starts of residential floor space in China fell about 20% year-to-date in '25, continuing a 4-year trend of 20-plus percent declines despite government efforts to stabilize the property market. There are slightly better trends in Tier 1 cities, but overall, it remains a challenging market. Across the EMEA region, although some markets are projected to contract this year, conditions appear to start to improve in Germany and France with sustained growth reported in countries such as Spain. Asia Pacific, excluding China, is expected to grow mid-single digit, driven by India and Southeast Asia with an improving situation in Australia. We maintain our expectation that the Americas new installation market will experience a modest decline in volume this year amid softer leading indicators and ongoing trade policy- related uncertainties. So -- but how did we perform in this market environment in the first half of this year? Now turning to Slide 5. First, Service. Our portfolio units continue to expand, showing strongest growth in China and Asia Pacific. Even as China conversions slowed as a consequence of the EMEA market decline in the recent years. In addition, we also made steady progress recorded also in EMEA. On modernization, I'm pleased to report that Q2 saw accelerated double-digit growth in all regions, building on a Q1 strong momentum. As indicated in April, China modernization orders accelerated sharply last quarter after the softer growth we saw in Q1. And we anticipate continued robust growth through the remainder of the year. Finally, on New Installations. Our global order volumes decreased by mid-single digit, mainly due to the prolonged weakness of the Chinese market. And in addition, a pleasing pickup in orders in Northern Europe could not offset decline in the Middle East, which was entirely driven by 2 exceptionally large projects booked last year and the resulting high comparison point quarter-on-quarter. Note that in value terms, growth was strong in Q2, up mid-teens in EMEA. Our performance in the first half of the year was the strongest in the Americas region, followed by Asia Pacific, excluding China, where our orders grew at close to double digits. With that, let me turn over to Carla to walk us through our financials in more details.
Carla D. F. De Geyseleer: Thank you very much, Paolo. Good morning, everybody. Happy to take you through the financials of the second quarter and obviously, the half year. So let us start with Slide 7. And Slide 7, it's our usual snapshot of the last 5 quarters. And let me point out a couple of highlights before we dive into the details later on. So firstly, as Paolo noted, it's very pleasing to see the pickup in order growth in H1. For the quarter, growth came in at 4.6% in local currencies with growth in all regions outside China. And with Modernization, a very strong contributor, up 24% in the quarter, followed by Service. Second point, revenue growth is slower, primarily as a result of the steep decline in China new installations. But rest assured, our backlog is building, and I'm confident that we will deliver on our full year guidance for '25 of low single-digit growth in local currency. I will elaborate on that a bit further. Thirdly, we continue to make really good progress on the journey towards our 13% EBIT reported midterm target. And this quarter, our reported EBIT margin came in at 12.6%, which is a strong improvement over last year despite higher restructuring costs. Our adjusted EBIT margin came in at 13.5%, which is an improvement of 130 basis points sequentially and 190 basis points year-on-year. And this is really a standout performance, partly driven by a pickup in efficiency savings this quarter. More about that shortly. A last word on our operating cash flow. This quarter was slightly lower than last year despite a good development in operating earnings and the lower cash conversion is primarily related to the decline in financial income. But looking at the first half as a whole, I'm pleased with the progress we are making on operating cash flow. So let us move to Slide 8, where we will look at our order and revenue growth in quarter 2. So the first important point to make here is that we faced very severe currency headwinds in the quarter. So FX shaved off CHF 196 million of our order intake growth, more than offsetting the organic growth. Looking ahead, I expect a similar impact on order intake in the last 2 quarters of the year, assuming FX rates stay at current level. Now it's nice to see that we continue to generate healthy organic growth of 4.6% in local currency, which is very much driven by Service and Modernization order growth. So the Modernization grew above 20% in all our regions this quarter with China making a strong comeback after a softer quarter 1. Now as for the revenue growth at the right-hand side of the slide, revenue slowed to just 0.4% in local currency in the quarter, and that is mainly driven by a decline in New Installation, which was the big headwind. It was down high single-digits in the quarter, mainly driven by China, which was down almost 30%. However, MOD and Services were able to offset this decline in new installations. Modernization revenue grew double digits, reflecting good execution and a normalization of the backlog rotation times, while Service grew mid-single digits, consistent with recent trends. Now looking forward, I expect revenue growth to gradually accelerate from the low level in quarter 2, given current order trends and the growth in our backlog. So that means that second half growth is likely to be very similar to what we have seen in the first half. As of the quarter end, Q2, our backlog was up 3.8% in local currency, very much driven by MOD and Service, which had backlogs up high single-digit year-on-year and -- but it also has to be noted that our backlog in New Installation grew year-on-year, up 2%. Now let me briefly touch on our backlog margin, which also improved again in quarter 2 sequentially. So we have now seen 3 quarters of sequentially positive development of the backlog margin after the rather flattish development through most of '24, which is very encouraging. Now let us move to the next slide, Slide 9, and take a look at our EBIT performance. So first, focusing on the drivers of our operational improvement, you can see the CHF 93 million you see in the first half bridge. That was CHF 37 million in our Q1 bridge and now CHF 56 million in quarter 2. So that partly reflects an acceleration in gains from efficiency measures taken last year and now increasingly visible in our P&L. So good progress when it comes to SG&A savings, but also procurement savings continue to deliver. Price and mix were contributors, however, less than the operational efficiency this quarter and less compared to prior quarters. Our reported EBIT was burdened by CHF 22 million of restructuring costs in H1, and we took all of these restructuring costs in quarter 2. Now moving to Slide 10, taking a look at the net profit. Our net profit grew to CHF 274 million in quarter 1 and CHF 531 million in H1. So net profit margin continued to improve now at 9.9% for the last quarter. And this uptake comes despite the higher restructuring costs and despite the headwinds in financial items below the operating line, including lower interest income, partly, of course, related to the lower Swiss interest rate, partly to onetime financial gains in last year's period. Now moving to the operating cash flow on Slide 11. So as said already, cash flow was strong in H1 and came in at CHF 703 million, up from last year high level. Quarter 2, however, was broadly flat versus last year, reflecting higher cash restructuring costs, lower financial income and lower down payments, which impacted our net working capital in the quarter versus the prior year quarter. Overall, we have made good progress on net working capital, as you will also note from our balance sheet. So still -- it is still negative and approximately CHF 1 billion. So at a level where we closed '24 and an improvement of around CHF 200 million versus June last year. Now as Paolo said already, we expect to deliver another good operating cash flow in '25 even if we might not hit the exceptional level of last year. Now coming to the guidance. So guidance for the remaining part of '25, which actually remains unchanged. So for the full '25, we expect a low single-digit revenue growth in local currency and an EBIT reported margin of 12%. Now I will happily preempt the question, why not a more ambitious margin guidance after the strong first half? So let me address it upfront. There are actually a couple of reasons why we expect the margin expansion to be more muted. Some of the reasons are internally, some of the reasons are externally. Let me start with the external reasons. First of all, remember, we guided on reported EBIT margin. And as Paolo referred to already, we are raising the amount of restructuring charges that we expect to take this year, now up to CHF 70 million from our prior view of up to CHF 50 million. And the majority of these increased restructuring costs will come in H2. So why a higher level? Well, because we have identified further efficiency opportunities partly from our review of our China organization, and we take this opportunity to accelerate the streamlining of our organization there. Second reason, we are working hard to offset the impact from tariffs in '25. But of course, there is a risk that we are not able to fully offset the gross impact in '25 with our mitigating actions. Based on the tariff levels as they stand today, we estimate the gross impact to be approximately CHF 20 million, so broadly in line with what we shared with you after our Q1 results. But obviously, this does not include the possible tariff escalations from the 1st of August on certain countries and commodities such as copper. Perhaps more importantly, it remains uncertain how the tariffs will impact the economics of our customer construction projects and our New Installation market more broadly. Moving on to a couple of internal reasons. So yes, we are facing some operational headwinds in the second half. Partly from China, which is a seasonally higher contributor to the group in H2 and the low margin orders taken in China in '24 will have, of course, an impact on our P&L as the year progresses. And finally, we also have less margin tailwind from mix in the coming quarters as our MOD business grows in the revenue mix. So in conclusion, let me end by thanking together with my colleagues in the Executive Committee, our close to 70,000 employees across the globe for their efforts so far in '25. Not least our colleagues in the field who are operating in some exceptionally challenging circumstances in many places around the world, but we believe we are very well placed to continue our journey to serve our customers very well and win in the markets where we are operating. And with that, I hand back to Lars.
Lars Wauvert Brorson: Thank you, Carla. Before we move to the Q&A section, allow me to take a brief moment for a short announcement. I'm very pleased to announce that we will be hosting a Capital Markets Day in 2026. We plan to host the event here at our headquarters in Ebikon on the 3rd of June next year and look forward to seeing as many of you here as possible. More detail on that event will follow in due course. With that, Paolo and Carla are now happy to take your questions. [Operator Instructions] With that, operator, please, if we can take the first question.
Operator: [Operator Instructions] The first question comes from Daniela Costa from Goldman Sachs.
Lars Wauvert Brorson: Operator, we can't hear. So maybe there is a mute at the other end.
Operator: Daniela Costa, you can -- maybe you are on mute? Otherwise, maybe we can take the next question.
Lars Wauvert Brorson: Yes, we'll move on, and we can come back to Daniela.
Operator: Right. Next question comes from the line of Andre Kukhnin from UBS.
Andre Kukhnin: Maybe could you just talk about the margin improvement in the quarter that clearly surprised to the upside, I think, in terms of all the run rates that we were thinking about on quarter-on-quarter or year-on-year. And in the context of that stable backlog or order intake margin that Carla, you mentioned through 2024, it kind of suggests that, that extra kicker was maybe coming from mix. And I just wondered if that's right and what is driving that? Is that the China down 30%? Could you maybe comment on kind of where the profitability of that business is? Just really quite keen to understand that inflection up in the margin and how we should think about it going forward?
Carla D. F. De Geyseleer: Yes. First of all, thank you, Andre, for the question. Let me add a bit of flavor. First of all, there are no nonrecurring. So that is important, I think, also to note. So the real uptake is coming from operational improvements. So that is the positive news. So as you know, we have been working quite for some time on different initiatives to really improve the operational efficiency. And what you see is now that several of these initiatives are starting to monetize. And the one who really kicked in is, of course, the results of the SG&A costs that we are bringing down. So we -- you know that in '24, we brought the indirect headcount down. And obviously, that leads now to efficiencies that you're seeing coming through the P&L. At the same time, our procurement and supply chain savings, they remain at a pretty solid level. So they continue. Hence, that is the effect that you are seeing. And we will continue. We are confident that we will continue on this road as several other initiatives, efficiency initiatives will kick in, in the period to come.
Andre Kukhnin: Great. Clearly, great to see that coming through all the, I guess, actions you took at the end of the year with the restructuring costs that we saw there as well. I just wanted to -- second question, I just want to follow up on modernization. And as you expect it to ramp up in the second half to then hold back the positive mix effect from Service growth. Could you just talk about Modernization margin a bit more? And what does this business need to kind of get profitability up towards the group level and not cause a negative mix effect? Is it part of the same program that you've just talked about? Is it just that materializing? Or is there anything specific to modernization in terms of your offering, in terms of go-to-market that needs to be addressed as well?
Paolo Compagna: Andre, Paolo here. Modernization, obviously, it's a business which has been addressed and is addressed and will be addressed in all aspects. You are touching now different points. Let me start with the margins development. For sure, with the increasing growth of this business line, and Carla was mentioning efficiency measures, we do not exclude Modernization business. So going forward, we also have efforts to continue to improve that business line for sure. I would leave to Carla to complete the picture, how does it contribute to the overall group margins. But by now, we never said that Modernization business is diluting our journey. Carla, would you like to...
Carla D. F. De Geyseleer: Yes. No, no, I think it is right. Just to add on, the initiative -- the efficiency initiatives we are driving, of course, next to the indirect are very much focusing on the Modernization efficiency as we are scaling this business, and you see our growth so -- and as we're also building up fulfillment capacity, we make sure that we scale that business in a very efficient way.
Andre Kukhnin: If I just may follow up on that. So am I right to understand it then that maybe overall, the Modernization business is below group average profitability, but the contribution from growth of it is not dilutive. Is that the right way to think about it?
Carla D. F. De Geyseleer: Well, I mean, it's clear when you look at the total P&L, of course, that Modernization and New Installation is lower than what you see in the Maintenance business. But definitely, I mean, it will add. I mean, clearly, we are improving the profitability, and we are growing very strongly.
Operator: The next question comes from Martin Husler from Zurcher Kantonalbank.
Martin Hüsler: Maybe first on China, this minus 30% sales development in Q2, could you maybe elaborate a bit more on that? I mean this seems to be weaker than overall market. Is this like an execution issue? Or is this now what we should expect to continue if you look at your order book in China? And then maybe on let's say, efficiency improvement versus negative scale effect in China. Obviously, you do well with efficiency improvement streamlining. And however, to a certain extent, obviously, the negative scale effect would impact probably your margin in NI. Maybe just give us a gut feeling if you are optimistic to improve margins in NI in China, nevertheless, the weak trend we see now in order book.
Paolo Compagna: Yes. Martin, that's -- on China, let me start with the order intake part on New Installations. Actually, it came in as expected. So no surprise on our side on the Q2 OIT order intake, new installation on China. Coming to the part of efficiency improvement, we announced in April, and we are executing as we speak, the streamlining of the entire New Installation organization in China just for the sake of realizing what you just mentioned to make sure that the margins remains in line with the volume we expect then to execute going forward. So -- and let me add one comment. I -- personally, I was also sharing in April, and I would tend to say we keep our position to say the New Installation market in China remains challenging and kind of demanding. So there to expect the order intake growth in NI significantly picking up in short term. So I think we can count on what we see, and we are preparing for this. Carla, would you like to add on?
Carla D. F. De Geyseleer: No, I think it's clear that the business opportunities in China are in the Modernization and in the Service because we don't see yet what we call the green shoots or the lights when it comes to the New Installation business. And that's also why we are adapting the organization towards these opportunities.
Martin Hüsler: And maybe an add-on, do you see any order book cancellations in China, which obviously would impact your -- probably your order intake number?
Paolo Compagna: Martin, no. By now, absolutely not. There's no surprise on our side on that one. Nothing -- no. It's just the order intake, which is adjusted to the level of now. And I repeat, we are now adjusting our structures to it. That's the level.
Operator: We have Daniela Costa back on the line from Goldman Sachs.
Daniela C. R. de Carvalho e Costa: Can you hear me?
Carla D. F. De Geyseleer: Yes.
Daniela C. R. de Carvalho e Costa: Perfect. Sorry about the problem before. Just 2 questions, 1 question and then a follow-up from something you said earlier. Can I ask you to provide maybe a little bit more color on the way you changed the guidance in North America and just comparing it with what we were hearing with one of your peers today. They seem to have a more bullish outlook on the new equipment towards the second part of the year in North America, but you obviously lowered it. Can you talk about, is it a market mix, market share, more macro confidence that is lower? And the one after...
Paolo Compagna: Yes. On Americas, on North America or Americas, we didn't change our outlook. We kept it as we saw it in April. I don't -- without commenting what competitors are seeing, what we see is actually a stable development there. For the moment. And what we also don't exclude is that we might have to prepare, which is not there yet, right, for a slowdown due to overall environmental changes, which are not there yet. But for the moment, we didn't change any outlook, and we don't see major changes in the New Installation market in Americas.
Daniela C. R. de Carvalho e Costa: Yes. Sorry, I meant Q2 was lower than what you saw in 1Q, sort of just from that -- got it. And then just a clarification. Just can you remind, and I don't know if you said that while I was having telecom issues. On the modern -- on the ranking of margins at the moment in China and China versus the group, where do you stand between, I guess, Services is higher, but Modernization versus new equipment? What's kind of the order? And where are they versus the group?
Paolo Compagna: In terms of order growth, Daniela? It's obviously...
Daniela C. R. de Carvalho e Costa: No, the margin.
Paolo Compagna: Margin expansion. Yes. Now specifically in China, they are quite similar.
Daniela C. R. de Carvalho e Costa: And they are above or below the group average? Below, I assume, significantly below?
Paolo Compagna: By now, they are below group average, yes.
Daniela C. R. de Carvalho e Costa: Still positive?
Paolo Compagna: Yes. Yes, yes, still positive, still positive.
Carla D. F. De Geyseleer: Sorry, just coming back on your question there. I just see because we didn't do -- on the U.S., yes, a downward amendment to the outlook. I guess you referred to Q2 in the New Installations America, but that is rather to a weakening in South America. So it's not coming from the U.S. I just want to clarify that so that we don't mislead you because for us...
Daniela C. R. de Carvalho e Costa: Perfect. That was exactly.
Operator: The next question comes from James Moore from Rothschild & Co Redburn.
James Moore: Could I ask one about orders and one about operational efficiency in the margin? Just on the orders, as it looks today, when you take into account your customer conversations, momentum, what you think the world looks like? Do you think you could achieve a similar level of local currency order growth in the second half to the 5% in the first half? And are there any factors that we should consider on that? That's the first question, maybe one at a time.
Paolo Compagna: James, well, no one has the magic here to look at. But if nothing dramatical changes is what we expect, yes, to repeat in Q2, more or less -- sorry, Q2 -- in the second half of the year, more or less first half of the year. That's what we strive for. Yes, except something which we don't know today would happen in the market.
James Moore: Very clear. And great job on the delivery of the operational performance over the last few years and again in the quarter. When I think about that CHF 56 million and you mentioned strong on the SG&A. But when you think about that number in the second half of the year, Carla, do you see any dynamics behind that? In terms of the savings line items away from the comments you've already made about MOD, China and the likes, and that we should think about in terms of the intensity of savings and the comparatives and the mix shift of those?
Carla D. F. De Geyseleer: Yes. First of all, yes, thank you, James. Yes, in terms of efficiency and the savings that are projected to come out of that, it is definitely our plan to have also significant savings in the second half of the year. Incremental, I mean, year-on-year, they might be a bit lower. But nevertheless, I mean, they will, for sure, be very -- also very significant in the second half because we continue with this initiative. And as some of them then mature even more, I mean, it's clear that, that will monetize in the second half. So I feel we are on a good route when it comes to operational improvements going forward.
Operator: The next question comes from Vivek Midha from Citi.
Vivek Midha: I have 2 questions. My first is on your comments around China Service growth on the back of the weaker market in NI for quite some time. I know it's early, but how are you thinking about how that trend plays out over the more medium term over the next 2 years? Should we expect that, that growth is a bit more subdued in '26 and '27 on the back of this trend?
Paolo Compagna: Well, I think, first, we have to understand that we talk about a slowdown compared to a very high level we have seen before by these huge conversions, New Installation to Service in the past, right? So now looking forward, I mean, the market in China remains of a significant size. So going forward, if you say really mid- and long-term, I would expect or we would expect the Service market continuing to grow in units at a significant level, right? This is the consequence of the New Installations, which are still installed in that market and will be converted in the next, let's say, 2 to 3 years to come. So therefore, I think the movement we see now is a reflection of the slowing down from previous huge growth rates. Going forward, I think this will remain a substantial Service market with significant growth rates year-on-year to be built on.
Vivek Midha: Very helpful. My second question is just a question around the competitive landscape. Are you seeing -- what are you seeing with regards to ISPs? Is there any increasing competition from independents?
Paolo Compagna: Well, without talking too much about competitors, what we see is in some markets, the presence of ISPs is absolutely visible. Especially when it comes now to Service, it always was. When it comes to Modernization, as we have reported before, a growing business line in the markets, there, one could say that in some markets, the maybe mid-sized ISPs would be very present and well, increasingly present maybe in some specific markets, too.
Operator: The next question comes from John Kim from Deutsche Bank.
John-B Kim: Sorry if I missed this, but for the upward guidance on restructuring costs, is there any color or context there on regions or what the incremental comes from? And a follow-up question, if I may.
Carla D. F. De Geyseleer: Yes. Thank you, John. Yes, we mentioned it is for a big part related to China and the realignment of our organization there.
John-B Kim: Okay. And if I saw the graph and heard you correctly, the outlook on the Service specific to China has been downgraded. Is that something to do with market dynamics or just your view on profitability and what you actually want to do in the country?
Paolo Compagna: That's our assessment of, let's say, the slowing down of the number of units getting converted from the New Installation into Service, which we see around mid-single digit. And so that's where now one can discuss, is it around 4% to 5% or 5% to 6%, down from a high level single digit, which was in some -- if I think a couple of quarters back, we still were at numbers like you could say 9% to 11% market growth service in units, right? And now yes, reflecting the slowdown of the last 4 years, if I include this one, in New Installation, actually is a kind of a math that the number of units getting converted is slowing down. This is what we are [indiscernible].
Operator: The next question comes from Benjamin Heelan from Bank of America.
Benjamin Michael Heelan: Just wanted to have a bit of a follow-on on margins. I mean you've said that the operational improvements are clearly running a little bit ahead of expectations. As you think about the next couple of years, how should we think about potential changes to the underlying adjusted EBIT margin in '27 versus the guidance that you've given? It feels as though there's upside risk now to the margin trajectory over the next couple of years given some of these savings. So I just wondered if there's any comments you could make around that.
Paolo Compagna: Yes, Benjamin, I'll take the first part about if -- and -- now the improved contribution from efficiency gains is not ahead of expectation. We announced last year that we -- now we will invest furthermore in our efficiency programs. And in Q1, we were also sharing that for this year, we remain absolutely focused on our efficiency agenda, and this is what we are doing. So on this one, we can say we just follow strictly our plan on efficiency improvement -- of our efficiency improvement program. How this will continue to contribute to margin expansion, Carla, if you like to complete the picture?
Carla D. F. De Geyseleer: Yes. Well, I mean, I can only reconfirm that what we have realized is in line with our plans, and we will continue on that route. I mean, how it will look like in post '27, I mean, yes, that we will come back at a later point in time. So I can only say that we are in line with plan, and we are happy with the outcome so far.
Operator: The next question comes from Vlad Sergievskii from Barclays.
Vladimir Maximovich Sergievskii: First one is on modernization order growth. Would you be able to give us some color what those growth rates are right now? Which regions are driving those growth rates? And how would your growth in modernization compared to end market growth? And if there are any signs that you are gaining market share?
Paolo Compagna: Vlad, good question. Let me start first part. We see Modernization business growing actually in all areas. So there's not one we can mention as outstanding and taking up for the others. Second, well, it is higher than the market. We have seen a pickup in over the period of the last few quarters. And well, we anticipate that now we are well growing as the market. Maybe in some markets, we might gain some market shares. However, discussing market shares in modernization is always a bit difficult as then you have to go to the details of the local market size, which is not so always very, very, very simple. But we assume in some specific markets that our modernization growth is slightly above the market growth in that specific region.
Vladimir Maximovich Sergievskii: That's great. And if I can ask about cash flow generation. Obviously, a very solid few quarters, last 1.5 years of cash flow. You are talking about positive mix effect on the margin. But obviously, this mix is, of course, negative for cash generation given the difference in prepayments between new equipment and everything else. And still, you delivered very good cash conversion. Are there any additional incremental levers for you to continue with those positive cash flow despite some mix headwinds going forward?
Carla D. F. De Geyseleer: Well, first of all, thank you, and thank you for noting our solid cash flow generation. So well, I mean, the outlook let's say, we will definitely continue to generate a solid cash flow. The question is very unlikely that we will hit the exceptional number of what we have seen in '24, the CHF 1.5 billion. So probably a little bit south of that, given that we had done a major improvement in net working capital, it's very difficult to repeat the same improvement levels. And yes, as you pointed out, yes, you pointed out some actually of the reasons. I also mentioned earlier, one that has -- is also a bit of a headwind is, of course, the financial income overall because we generated a very healthy financial income last year, as you know. Now with going -- yes, with interest rates in Switzerland that are at a 0 level, of course, that has a significant impact also on the -- yes, on the cash income. So we have to offset a couple of what I call headwinds. So yes, but we definitely will generate a healthy cash flow.
Operator: The next question comes from Martin Flueckiger from Kepler Cheuvreux.
Martin Flueckiger: Two questions. The first one is a little bit more quantitative, I guess, for Carla. Thinking in EBIT bridge terms, what are the total restructuring savings and efficiency savings that we're looking at incrementally for 2025 versus '24? That's my first question. And my second question would be, maybe I understood you, Carla, incorrectly at the Q1 conference call. But as I remember it, I think you were cautioning us to expect the same level of EBIT margin expansion following as of Q1, i.e. -- sorry, as of Q2. And yet now we have seen that the Q2 adjusted EBIT margin expansion has actually been even higher than what it was in Q1. So am I missing something? Or did I just misunderstand you?
Carla D. F. De Geyseleer: Yes. First of all, I don't think you misunderstood me. Maybe it was also a bit of -- as some of the initiatives were just kicking in, maybe also a bit of prudency. And it turned out that the operational improvements were, were really solidly being monetized. So that is definitely a point. So yes, that is the answer, the short answer to your second question. What now -- with respect to the EBIT bridge, and if we just look at Q1, yes, I mean, the efficiencies that are kicking in. They -- I mean, are now really, it's solid numbers that are outweighing for sure, a big time the inflation. And as I just also mentioned, as per plan, I mean, these efficiencies are clearly outweighing also the contributions from pricing and volume, et cetera. And that is the initial purpose of the plan, why we developed it and why we implement it. So it's coming along. And when we look then also for the second half, if everything goes according to plan, we will further have improved that ratio. So yes, and that will also drive then the coming period, a good healthy adjusted EBIT margin and obviously also an EBIT margin. Of course, in H2, part of the EBIT adjusted margin will be offset by these increased restructuring costs. But okay, I mean, that anyway leads then to further savings in '26. So yes, so -- but overall, yes, we are also well on plan and happy with it. Thank you.
Operator: The next question comes from [ Benjamin ] from [indiscernible].
Unidentified Analyst: Just a quick question regarding China. Could you please remind me what exactly the steps are that you're taking there for realigning your business? How does it change your footprint? How does it change your headcount in China? What's going on there?
Paolo Compagna: Benjamin, in short terms, I start with what we have done since we spoke to -- everyone to each other in Q1. We have streamlined our leadership structure. One could follow that we have eliminated on the top one layer. So the first step was to streamline yes, the first line of leadership. There have been also some personnel changes executed, which you could follow in the press as we were quite transparent on this one. Now how does it change going forward? And bear with us that we can disclose the programs as we execute them. But obviously, yes, it continues. Carla was mentioning it. We have a plan to continue to streamline our organization. Does the footprint change? Basically not. But what we do is we focus on growth opportunities for the future. Obviously, it's more around Service, Modernization and so on and continue to focus on having the right setup for the New Installation. That's in short words, the program. And as I said before, we will be very happy sharing with you the progress as it continues as we aim to have the major part of the execution done this year.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Lars Brorson for any closing remarks.
Lars Wauvert Brorson: Thank you very much, operator, and thank you all for attending the call today. Please feel free to reach out to me and the IR department for any follow-ups you might have. The next scheduled event is the presentation of our Q3 results on October 24. Thank you all very much, and goodbye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.